Operator: Good day, ladies and gentlemen, and welcome to the Autodesk Fourth Quarter Fiscal 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference Mr. Abhey Lamba, VP of Investor Relations. Sir, you may begin.
Abhey Lamba: Thanks, operator , and good afternoon. Thank you for joining our conference call to discuss the results of our fourth quarter and full year of fiscal 2019. On the line is Andrew Anagnost, our CEO; and Scott Herren, our CFO. Today’s conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investor. As noted in our press release, we have published our prepared remarks and a slide presentation on our website in advance of this call. The prepared remarks document is intended to serve in place of extended formal comments and we will not repeat them on this call. Going forward, we will replace the prepared remarks with the slide presentation, lastly we will post a transcript of today’s opening commentary on our website following this call.  During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the company, such as our guidance for the first quarter and full-year fiscal 2020, our long-term financial model guidance, our revenue and cash flow expectations, the factors we use to estimate our guidance, our maintenance to subscription transition, our expectations regarding product mix and pricing, ARPS, customer value, cost structure, our market opportunities and strategies, and trends for various products, geographies and industries. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time-to-time with the SEC, specifically our Form 10-K for fiscal year 2018, our Form 10-Q for the period ending October 31, 2018, and our current reports on Form 8-K including the Form 8-K filed with today’s press release and prepared remarks. Those documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today’s call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of our GAAP and non-GAAP results is provided in today’s press release, prepared remarks and on the Investor Relations section of our website. We will quote a number of numeric or growth changes as we discuss our financial performance, and unless otherwise noted, each such reference represents a year-on-year comparison under ASC 606. And now, I would like to turn the call over to Andrew.
Andrew Anagnost: Thanks, Abhey. I am excited to share with you our impressive close to fiscal 2019 and the strong momentum we experienced closing the year. Consistent with the prior two quarters, we experienced strong personal performance across all geographic regions and in all product categories.  In fiscal 2019, we achieved multiple milestones putting us in an excellent position to deliver on our fiscal 2020 targets and advance the company to the next chapter of growth. Here are some of the key accomplishments we achieved this year. Recurring revenue was 95% of total revenues for the full year and has reached a steady state. Our total revenues of nearly $2.6 billion were the highest ever in the company's history. Our total subscription plan subs are now greater than total maintenance subs were at the peak of the prior model. We returned to positive free cash flow and earnings, we significantly expanded our operating margin and we strengthened our construction portfolio and now have an unrivaled breadth of construction solutions. Beyond that, I couldn't be prouder of the Autodesk team that delivered these results. They worked hard and they deserve all the credit and it’s my honor to represent them. Now before I dig deeper into our successes in the quarter let me take a step out and revisit the five key priorities I laid out for the company at the beginning of last year. Our top priority entering fiscal 2019 was the continued execution of the business model transition. We now have less than 20% of our revenues coming from maintenance agreements and I'm happy to report that we were effectively finished with the model transition and look forward to executing on our growth strategy. We continue to invest in digitizing the company to provide our customers with a better experience as they grew through their own digital transformations, which is a recurring theme we hear from all of them. We have a focus on driving the building information model to the design and make process in AEC and during the year we highlighted a number of customer wins that are using BIM to manage their design and make processes in the AEC industry. We look forward to executing on that theme further in fiscal 2020 as BIM momentum remains strong. We are continuing to invest in automating the process of design to manufacturing and we are seeing early signs of the conversions of construction and manufacturing processes. Looking at our Q4 performance we built upon the broad based strength over last couple of quarters by achieving 34% growth in annualized recurring revenue or ARR, which remains the most important metric for us. We are becoming a more strategic partner for all of our customers, but in particular for our larger customers, a fast reflected in the strong growth of our enterprise business. Within product categories we continue to see greater adoption of industry collections in our BIM 360 solutions. In line with our expectations our free cash flow has accelerated in a meaningful way as our billings topped $1 billion for the first time in the fourth quarter. Scott will walk you through more of the financials, but I want to spend a little bit more time talking about our progress in various areas. Expertise in our products remained in high demand and is growing rapidly, according to indeed hiring lab AutoCAD expertise is featured among the top 10 fastest growing skills and technology job searches. In addition according to Upwork’s latest quarterly index Revit expertise is featured among the top 15 hardest skills for freelancers in the U.S. job market. These are important indicators of the ongoing opportunity we have to grow our subscription base and to turn more and more of our users into subscribers. During the year, we strengthened the foundation of our construction business with both organic and inorganic investments. In addition to investing in our BIM 360 portfolio we purchased assemble systems to bolster our preconstruction capabilities, plan grid for document centric workloads and field execution and building connected for bidding and risk management. This year our focus is on integrating these businesses to deliver even greater value to our customers. The broaden product portfolio will help us expand our presence with general contracts, sub-contractors and building owners. The feedback from our customers regarding these acquisitions has been overwhelmingly positive and they’re excited about the expansion of our portfolio. For instance, Clayco a leading construction design firm based in Chicago has been an Autodesk customer for many years. As use of BIM 360, Assemble, PlanGrid and Building connective they have fully embraced the digitization of construction. They rely on the breadth of our portfolio deliver value to their customers by automating their design and make activities throughout the preconstruction and construction processes. We look forward to strengthening our relationship with Clayco by investing in solutions that expand their workloads. Additionally, we see opportunities to expand our relationships with other leading companies in the space. Beyond that BIM adoption remains one of the key drivers of investments in the infrastructure space. Mandates for using BIM drove another seven figured enterprise agreement with a large European infrastructure provider during the quarter. We doubled our contract with the customer as they look to expand the adoption of BIM for building and managing their infrastructure projects. Our unique portfolio design tools is allowing them to expand from products like AutoCAD and Inventor into Revit the world’s leading BIM design tool. BIM 360 for site execution and other advanced analysis tools. We look further to strengthening our partnership with them and many other organizations that are looking to rely on advanced technologies to drive efficiencies. On the manufacturing side generative design and our investments in Fusion continue to attract global manufacturing leaders to partner with us. During the quarter, we signed an enterprise agreement with Hyundai Motor Group who plans to leverage our technologies to create innovative designs. Hyundai is very interested in utilizing our capabilities in general design and we look forward to partnering with them to drive innovation in the automotive space. In summary, I am extremely pleased with our fiscal 2019 performance and I'm excited about the future. We are entering fiscal 2020 with strong momentum in every geographic region and across all product categories. This sets us up well to achieve our target of $1.35 billion of free cash flow this year. We also expect to see acceleration in our construction business this year and beyond. When combined with continued execution in the quarter this will drive strong ARR growth into the future and help us reach our FY2023 goals. Now, I'll turn it over to Scott for more details on the financials. 
Scott Herren: Thanks, Andrew. Before digging into the numbers, I would echo Andrew’s excitement entering fiscal 2020 as we are experiencing great momentum in our business driven by strong execution. Record billings of just over $1 billion in the quarter, coupled with better than expected cash collections drove free cash flow of $294 million. For the year, we ended up generating free cash flow of $310 million this kind of powerful leverage and the model drives our confidence in achieving our fiscal 2020 cash flow target. Before discussing more detailed financial metrics for the quarter, let me highlight the impact of the fourth quarter acquisitions on our results. The acquisitions contributed $27 million to ARR, $7 millions to total revenue and $43 million to billings for the quarter. Recall that we calculate billings by adding the change in deferred revenue from the balance sheet to our reported revenues. The acquisition contributed $36 million to deferred revenue on the balance sheet, and $61 million to unbilled deferred for a combined contribution of $97 billion to total deferred revenue. The acquisitions also increased our total expenses by $12 million, resulting in a negative impact of $5 million to our operating income or 85 basis points to our non-GAAP margin for the quarter. The acquisitions negatively impacted our non-GAAP earnings per share by $0.03. Lastly, they contributed 127,000 subscriptions that are included within our recorded cloud and total subs numbers. Please refer to the earnings slide deck on our website for more information on the contribution from acquisitions and our adjusted results for the quarter. And I'll discuss the remaining financial metrics excluding acquisitions as our fourth quarter 2019 guidance did not include their contributions. Our Q4 ARR growth of 33% benefited from a 17% increase in total ARPS and 13% increase in subscriptions. Our strong performance across all product lines and geographic regions drove the results for the quarter. There was approximately 1 percentage point of benefits to the ARR growth related to upfront revenue recognition of some products such as VRED [ph] and Vault that do not incorporate substantial cloud services and are recognized up front. Before I go into more details about our subs and ARPS, let me reiterate that this is the last time will be disclosing subs and ARPS on a quarterly basis. Going forward we will use events like our annual Investor Day to report on these metrics that will help you build your long-term models. Looking at subscriptions, we grew total subscriptions by 13% to $4.2 million. In the quarter our subscription plan subs grew by 291,000, organically, led by growth in product subscriptions. We added 51,000 cloud subs driven by the continued adoption of them BIM 360 solutions. For core subscriptions or net additions of 74,000 were driven by strong adoption of our industry collections, which continue to grow as a percentage of net new products subs sold. Industry collections now represents approximately 28% of our total subscription install base. Moving to the maintenance to subscription program or M2S. We continue to make solid progress. In Q4 our 110,000, customers migrated from maintenance to product subscriptions. We now converted nearly 800,000 maintenance customers to subscriptions since the inception of the program.  Similar to the last few quarters, the conversion rate remains strong, with approximately one third of the maintenance renewal opportunities migrating to product subscriptions. Of those that migrated upgrade rates among eligible subscriptions remain within the historical range of 25% to 35%. We expect the number of M2S interest migrations to moderate in fiscal 2020 as we have less than 800,000 maintenance subs remaining. Maintenance renewal rates experienced the modest decline versus a year ago, which is as expected. Product subscription renewal rates ticked up year-over-year. Overall, we continue to experience very high renewal rates for M2S related subs and industry collections continue to command higher renewal rates. We expect the renewal rate for product subs to keep increasing as the product mix shifts towards higher value products. Now, let's talk a little bit more about annualized revenue subscription ARPS. Total ARPS posted another quarter of strong growth as it continues to benefit from the same drivers we discussed at last year's Investor Day and that have manifested in the previous few quarters.  These drivers include continued growth of the renewal base, which comes at a higher price to Autodesk, the increase in digital sales also at a higher net price to Autodesk, the product mix shifts industry collections, the maintenance price increase for those customers who don't take advantage of the M2S program, unless discounting and promotional activity. Contributions from our direct business raised by 2 points sequentially to 30%. Our eStore which is like a bigger part of our digital sales grew by more than 50% in fiscal 2019. For the past 6 quarters, our eStore has generated over 20% of the new product subscriptions. Q4 also marked the 9th consecutive quarter of more than 30% growth in our enterprise business, demonstrating greater adoption within the largest customers. In fact, our EBAs posted over 60% revenue growth in the quarter. Looking at the balance sheet, total deferred revenue grew 13%, which also includes the unbilled amount. Unbilled deferred revenue increased by $80 million sequentially to $530 million due to strong EBA performance. Our long-term deferred revenue post in sequential growth for the first time in the second quarter, driven by multi-year subscriptions, which we expect to normalize back toward historical norms during fiscal 2020 and beyond.  While our stock repurchases slowed down in Q4 as we are conserving cash for the acquisitions. We used $293 million in fiscal year 2019 to repurchase 2.2 million shares at an average price of $130.15. We remain committed to managing dilution and reducing shares outstanding overtime. Now, I'll turn the discussion to our outlook. And I'll start by saying that our view of the global economic conditions remains unchanged for the last few quarters and we continue to monitor the potential macroeconomic impact from Brexit and the various trade and tariff disputes. There have been some foreign exchange volatility, but our hedging program has succeeded in smoothing out the bigger swings.  We are reiterating our fiscal 2020 free cash flow outlook of approximately $1.35 billion. Our across the board strength and momentum exiting fiscal 2019 will help us drive ARR growth in the range of 27% to 29%. On an organic basis, we expect our total non-GAAP expenses to grow by only 2%, while the acquisitions will drive another 7 points of growth.  In line with our initial plans, we expect billings growth to accelerate to about 50% due to continued normalization of our multi-year billings, flow through from unbilled deferred, strengthen our renewals, new subscription growth and acquisitions. Recall that our fiscal 2019 billings were negatively impacted due to the adoption of ASC 606 accounting standard, which combined with the recent acquisitions is offering a little over 10 percentage point tailwind to our billings growth in fiscal 2020. Looking at the quarterization of free cash flow for fiscal 2020 given normal seasonality and strength of payment collections and large deals signed in the fourth quarter, we expect about three-fourths of our free cash flow to be generated in the second half of the year. Lastly, the non-GAAP tax rate for fiscal 2020 is expected to be 18% or a point lower than fiscal 2019.  Looking at our guidance for the first quarter, our strength in the fourth quarter presents a tough sequential compare, given normal software seasonality, other revenue in Q1 is expected to be about half as much as we experienced in Q4. Normalizing for the upfront revenue recognition in the fourth quarter subscriptions and contributions from recent acquisitions our expected sequential change for the first quarter revenue growth is in line with our historical trends. Slide deck on our website has more details on modeling assumptions for the fiscal first quarter and full year 2020. Before we start the Q&A part of the call, let me summarize by highlighting that fiscal 2019 was a year of milestones for us. We exiting the year with strong momentum in our free cash flow that drove our revenue growth plus free cash flow margin to 37% for the year.  Going forward, we continue to focus on driving our free cash flows driven by ARR growth and margin expansion. I could not be prouder of the accomplishments of the Autodesk team and I want to acknowledge our fantastic employees, customers and partners around the world. We look forward to seeing most of you on our Analyst Day on March 28th where we'll discuss our plans in more details.  Operator, we’d now like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Philip Winslow with Wells Fargo. Your line is now open.
Philip Winslow: Thanks guys for taking my question and congrats on a great close of the year. Andrew just wanted to focus in on the ton of business obviously Scott mentioned that your view of the economic conditions were still positive unchanged for the last couple of quarters. If you do drill down into the industries AEC manufacturing what's the feedback that you're hearing from customers about their spending intention, anything that you want to call out there? And then just one follow-up for Scott on that.
Andrew Anagnost: Yes. All right, Phil thanks. Look like we said we're seeing strength across all the geographies and all the industries everyone's growing well, and everyone is signaling an intention to keep buying. So right now we don't see signs of a slowdown in anyone's purchasing activity. And we probably told you previously many times that we watch the AutoCAD and LT revenue streams fairly carefully to see if we see any signs those grew 36% year-over-year. So they're still robust and strong. So right now all the industries we look in Phil they're all showing signs of a continued growth. So nothing slowing down right now.
Scott Herren: Yes, Phil from a revenue standpoint AEC growth was 35% for the quarter, that’s quite sequentially. So AEC has been strong for us all year continue to be strong manufacturing growth actually picked up from 20% in Q3 to 29% in the quarter we just closed. So we're seeing, if anything we're seeing in staying hard and get stronger.
Philip Winslow: Got you. And then Scott follow-up on your comments on ARPS just wonder if you could help us just kind of frame this coming fiscal year obviously you had a lot of positives in fiscal 2019 maintenance pricing M2S collections. How are you thinking about just ARPS this coming year and maybe kind of walk us through the puts and takes this year compared to fiscal 2019.
Scott Herren: Yes, so I think we'll continue to see the same trends that we’ve seen in ARPS. The long-term drivers of our ARPS growth are still in place. That's the shift -- that continued shift to industry collections obviously drives on our subs we gave you some stats in the opening commentary that the industry collections are now 28% of our total product subscription base which is huge. So that's driving ARPS subs I think that trend continues. We'll see higher net from a continuing growth in the renewal base and renewals come to us at higher net price. We’ll see the continued shift to direct sales, which also comes to us at a higher price. And then smaller pricing changes and less discounting. So some of the core trends that we saw driving it and we talked about it last Investor Day and we saw it driving it this year. Those things will continue in the fiscal 2020.
Operator: Thank you. And our next question comes from Saket Kalia with Barclays. Your line is now open.
Saket Kalia: Hey guys, thanks for taking my questions here. Maybe just to shift gears to construction and start with you Andrew. Realizing it's still early for PlanGrid, can you just talk about how you're thinking about pricing strategies here down the road. I know that we've talked about the benefits of the per user model. But if I think about other packages like EBAs, which have been so successful as of late and think about potential with PlanGrid., I'm curious how you're thinking about PlanGrid pricing strategy with what you've learned with some of the innovations with Autodesk pricing strategy down the road?
Andrew Anagnost: Yes, Saket that's a really good question. I mean, I think you probably know that PlanGrid current pricing strategy is basically packets that have unlimited project access, unlimited number of sheets that are being accessed. So they have a nail gun, dozer and clean kind of purchase level. We have named user models. We also have a project based model and then we have the pay per use EBA model. One of the things that's important to recognize about the construction ecosystem is projects involve multiple people participating on trying to create an outcome. And generally speaking, what people want to do is get as many people into the project using the software as possible. And they want to do it in a predictable and economical way. So you've seen lots of models being played within the space.  One is the project based model where people charge you as a percent of the project value and every project they add, they keep charging you more. We found that model to be very problematic as you get deeper and deeper into your customers’ business because the customers basically start to push back and this idea of paying more and more based on the number of projects you're putting into the ecosystem. Named user bundles are attractive because you can essentially, pay charge discounted pricing for thousands of users at once. You'll probably see that showing up in the PlanGrid model moving forward. And you mentioned lastly, the notion of paper used pricing. So imagine being able to sign up for a project and just pay for what you use as you go along through the project. You'll probably see us start to experiment with those things as we move out in the later years. At the very least PlanGrid over a period of time, we'll start integrating with our EBA model. And our EBA customers will be able to do pay per use models. So looking forward, start to imagine the plan grid models lining up with some of the models we already have and start seeing us looking at more kind of paper use type models as we move into bigger and bigger project ecosystems.
Saket Kalia: Got it, that's really helpful. And maybe on that same topic for you, Scott. Can you just remind us how the billings work for PlanGrid and BuildingConnected? And similarly how that could change over time just as those businesses become more integrated with Autodesk?
Andrew Anagnost: Yes, initially with PlanGrid and BuildingConnected we're leaving the sales teams intact so we can maintain the momentum in each of those businesses. So they will flow and they will be consolidated obviously with our total results, but they'll flow in through their own sales teams. I expect to see -- for the full year I expect to see those billings come driving somewhere around the mid-single digits of our year-on-year billings growth. So, it's a notable amount of billings growth for the year. The one exception to that is we will have the PlanGrid sales also incorporated to our named accounting, the people that sell on to our largest customers sell the EBAs. They'll also be selling PlanGrid. So a little bit it coming from our own sales team the remainder will continue to come through the sales teams that are there. And we are investing by the way to grow those sales teams post-acquisition.
Operator: Thank you. And our next question comes from Heather Bellini with Goldman Sachs. Your line is now open.
Heather Bellini : Great, thank you so much for taking the question. I had two just related to collections and then on the construction side. You guys have obviously seen a pretty steady mix shift over to collections skews and I'm just wondering if you could share a little bit with us, what's driving those conversions? And specifically, are you doing anything to help and sent that with maybe special promotions around collections?  And is there any change in terms of the mix I think you used to say it would be expected it to be 30% of the mix? Any update on that would be helpful. And then, I had a follow up on the construction side, which obviously now you've got a more robust offering. I'm just wondering what you're seeing if anything different from a competitive standpoint. Thank you.
Andrew Anagnost: All right, Heather. So I'll start make a comment on the collections thing and I'll let Scott weigh in as well and then we can come back to the construction point. So real quick, what's happening with collections is kind of what we expected as customers are looking at their options they're looking at upgrading from maintenance to subscription, they're looking at how they move their new suites into new types of mixes.  They're just looking at the collections and saying, hey, what this is a better way for me to consolidate my offering. My typical user uses this application and this application. I'm just going to true up on collections. We saw a similar phenomenon with suites. We're just seeing it accelerated in at a somewhat larger scale with collections. And we expect that to continue as we move forward, which is a good thing. One, it simplifies our relationship with the customer. It increases the value of the account on an account by account basis. And it gets more of our technology on our users' desktop. So it's all goodness from our perspective. Scott do you want to add something?
Scott Herren : The only thing Heather to the question of what's driving that? Why is it going faster than suites? So we've talked in the past about a lot of work that was done to simplify from suites that were several different suites and each had three different versions a good, better, best version down to three. And I think that simplicity has made it not only easier to sell and more efficient for our sales team and our channel partners, it has made it easier to buy on the buy side. So I think that's the biggest driver behind it. There's always an occasional promo, there's nothing we've done explicit to try to drive this much faster. I would say at the point of conversion, as Andrew just talked about, when you convert from maintenance to product subscription, that is a very attractive price point. At that point to go from individual products over to collections. That's why we're seeing that upgrade hitting that next 25% to 30% of those eligible or actually taking advantage of it and go into a collection from a single call.
Andrew Anagnost: Heather you actually hit on something, back in the suites days we did lots of cross selling promotions around suites. We've done very few if any, around collections, which is a really big difference between that program and what we're doing now. And I think it talks to the maturity of the model and its connection with subscriptions. Now on your construction comments with regards to competitive dynamics, we’ve kind of surged into these acquisitions, really pleased with what we're seeing, we feel like we've consolidated I think pretty broad and exceptional solution. And it's right on track with some of our long term strategic objectives.  So when we go and talk to customers right now the conversation isn’t really about competitors it’s about okay what’s going to happen with the PlanGrid roadmap, what’s going to happen with the BIM 360 roadmap, how are you going to get the building information more entrenched into my processes. So our conversations with customers are excitement about what we’re doing, not about what our competitors are doing, which is a really great conversation to have. And I just want to remind you a couple of things so that you kind of get a good sense for what we’re doing here with regards to both PlanGrid and BuildingConnected we acquired these companies and we did not changed their run rate with regard to R&D we didn’t change the run rate at all. In fact, we’ve layered more R&D investment into PlanGrid and into BIM 360. So what we’re doing is we’re accelerating the roadmaps of both of those products with much more targeting. So PlanGrid is going to focus a lot more on site execution and the things associated with that execution. BIM 360 is going to focus a lot more on project management and project flow these are two incredibly sharp teams that are just going to kill it with what we’ve been able to do with the acceleration we’re layering in. That’s why you’re seeing things like construction IQ coming out right now, which we’re really excited about because it’s completely differentiated in the market. That’s using data that only we have to aggregated layer machine learning on and actually provide predictive outcomes of what could possibly happen in a construction project moving forward. Nobody has that kind of stuff. So you’re seeing a surge ahead of the competition, not lose any momentum at all. This is a big area for us and we’re taking it really seriously and we’re investing more.
Operator: Thank you. And our next question comes from Jay Vleeschhouwer with Griffin Securities. Your line is now open.
Jay Vleeschhouwer: Thank you. Andrew for the six quarters as you’ve been highlighting your own internal digital infrastructure is there somebody for you to characterize or quantify or if otherwise describe how that infrastructure particularly in terms of transactional and license activation capabilities has evolved. I mean it’s clear that your intuitive license volume is already well above where it was before the model transition you’ve got some pretty ambitious plans for multiplying the size of the eStore. So in terms of what’s occurred and what still has to occur could you talk about that infrastructure? And then a follow up.
Andrew Anagnost: Yes, so Jay, this is actually something really exciting I can comment with regarding to infrastructure. It doesn’t get a lot of news, but what’s happening now is that every new purchase of a single user license that happens out there in the market whether it happens from a partner or directly to us is going into a completely new backend that is serial number three.  So all of our customers that buy these single user licenses that used to manage large spreadsheet for serial numbers that is all gone. So they are actually buying licenses that are completely identity based and that is a powerful lubricant to how our customers manage and use Autodesk software.  Now at the same time the existing licenses they have that are sitting on the old model serial number base are being progressively migrated over to the new system. So by the end of the year every single user license is going to be sitting on this new system and serial numbers are gone from our single user business. Now if you know anything about how people manage our software, this is a non-value added activity that sucks lots of time in dollars away from managing a relationship with Autodesk that is getting removed. And that is a direct results of the investment we’ve made in the digital infrastructure. You’re going to see similar moves as we look at how we do multi user licensing in the future that’s something I’ll save for another day. Now the other thing that we’re able to do and you’re going to see it coming out more and more is usage analysis and it’s not just for our EBAs, but we’re actually going to be projecting usage behavior back to our customers so they can see who’s using what and to what degree the software is getting utilized. Now that will allow them to better control their relationship with Autodesk, it will allow us to better understand what they’re using and what we can recommend to them next. So this year is a big year for lighting up infrastructure changes that we’ve been investing in over the last 18 months and customers are going to see real benefits Jay these are not trivial changes in the way they manage their relationship with Autodesk. So we’re actually pretty excited about it.
Jay Vleeschhouwer: Okay, thank you for that. The follow-up is as you know we track pretty closely your headcount your open regs and where you’re investing in sales and R&D and so forth you have quite a number of very interesting sounding senior management positions which you are looking fill and maybe you could talk about the thinking behind some of those.  For instance a Head of Building Design Strategy, a Chief Data Architect, Head of Brand Strategy, Brand Activation, a Head of Self-Service Transactions, multiple things that sounds pretty interesting and maybe just put that in the context of where you're going this year and beyond.
Andrew Anagnost: Yes. So look, we are dead serious about having every aspect of Autodesk be completely digital. End-to-end from the customer’s first touch to when they get the product, to when they use the product and when we provide layered automations on top of them. We manage and deal with mountains of data from our customers.  So for instance, what you heard about the chief architect role there that’s all about making sure that the infrastructure we're building behind the scenes takes that data from cradle to grave so it adds value to the customer in every single touch point. And does it in such a way that it's highly trusted, high integrity, the data is used in the service to the customer, not in the service of anyone else. So those roles, what you're seeing is basically how we're translating the maturity of our investment into new types of automation activity. And we're just looking at, hey, we need this talent set, we need this talent set, in order to layer on this automation. So we're hiring to our roadmap is what we're doing. And you're going to see more of that and frankly we're getting really interesting people coming on board that are interested in some of these positions. So very astute observation and yes, you are correct that pre-stages other types of automation and activities that are yet to come from us, which we believe are kind of game changing in our industry.
Operator: Thank you. And our next question comes from Gal Munda with Berenberg. Your line is now open.
Gal Munda : Hey, thanks for taking my questions. The first one I just have Scott for you maybe on the cost side. The guidance for the next fiscal year is kind of a high-single digit growth in terms of the cost base. Is that something we should be thinking more sustainable going forward considering the fact we've had a few years kind of flattish cost base or is that something that's more of a one-off?
Scott Herren : Yes, Gal it's a great question. If you fill back the guidance was 9% total spend growth for the year. And if you fill that back, it's about two points organic. So maintaining kind of the cost discipline that we've had. But of course you layer on what Andrew just talked about in the -- not just the organic growth, but also the investments we will make in those businesses. That's another 7 points of spin growth overall. I think that's probably not a bad range to think. As you look further than beyond fiscal 2021 to 2021 through 2023 that's probably not a high-single digits is probably not a bad rates think about going forward. It all depends on how -- what opportunities are out there and what's going to drive the long-term top line growth for the company.
Gal Munda : That makes sense. Thank you so much. And then, if I just kind of shift gears towards manufacturing a bit, kind of, construction has been getting a lot of the highlight recently, but in terms of the manufacturing, can you give us any color on the adoption of Fusion 360 when you look at some of the competitors they’re still growing pretty healthy in that space?  Is that -- how is the business growth? Maybe if you look throughout 2018 in calendar terms compared to what you've seen maybe the years before, because the product is kind of more mature now is in -- had several iterations. How do you feel about it?
Andrew Anagnost: So, Gal let me tell it to you -- this is Andrew let me say just a couple of things well nobody's growing at 29% in the manufacturing segment right now, right. That kind of growth is sure taking besides us. All right, so, we -- and by the way, the reason you're seeing that growth is we talked a lot about year-over-year compare that people were questioning for a while because we were retiring some manufacturing products. So we were actually taking revenue out of the system as we retire and consolidate some products. Mostly consolidating some of those products into the Fusion stack and into the Fusion platform, so now what you're seeing is the compares that actually show it was sitting underneath all of that. And you're seeing robust growth in our manufacturing segments. What you're also probably seeing if you're looking around in various forms of it, Fusion is really on fire. It's really in terms of user growth, probably the fastest growing platform in the industry right now. And we're happy with where it's at right now. What you're seeing is this exploration of what we've integrated into the platform with generative design, people are poking into this and using it in ways that frankly, we didn't really foresee and I'll give you some examples. There's traditional hardline manufacturers that are using the generative capability inside of Fusion to kind of explore a series of design options that would traditionally kind of have been 3d printed natively and then what they're doing is saying wow, this is a better than I ever had, and they turned it into enrollment. So they're actually using the capability inside of Fusion to explore design space they never explore it before. And they're doing it with constraints in their manufacturing methods and other things and then turning it into solutions that they can use right now with traditional methods they have. Really unique workflows, really unique things. Stay tuned, I think we've been very clear with you and construction was the first priority. We've established a strong construction portfolio, we’re happy with what we've got there. In terms of major acquisitions we’re done. But as you look over the next 12 to 18 months, watch this space, you're going to see it start making the kinds of organic and inorganic moves in the manufacturing space that just accelerate the leadership position we already feel like we have.
Operator: Thank you. And our next question comes from Brad Zelnick with Credit Suisse. Your line is now open.
Brad Zelnick: Excellent, thanks so much, and congrats on great results, guys. I've got one for Andrew and a follow-up for Scott. So firstly, something that came up in our conversations with partners this quarter was some confusion about the go to market strategy with PlanGrid. Can you just remind us of your strategy for integrating it into the broader construction portfolio, whether we should expect PlanGrid to continue being sold standalone or perhaps bundled with build or ultimately integrating it with the BIM 360 platform longer term?
Andrew Anagnost: Yes. So, for the foreseeable future, you're going to see PlanGrid continue to be sold standalone. We do -- we are rolling out a program where if a partner find the deal, they get a commission on the deal, they get a finder's fee essentially for being participating in the deal, but PlanGrid is going to continue to sell directly. We are also looking at ways to appropriately create offerings that combined capabilities from BIM 360 and PlanGrid where customers might be confused about which solution is best and stay tuned, you'll see some of that. But for the most part, we're letting this solution run and continue on its own. Remember, PlanGrid reached into a part of the construction ecosystem that we weren't spending a lot of time on either were our partners frankly, okay. So we're actually deeper into the construction chain than we were before and we're letting them continue to go into that chain, renew their deals and actually find new deals and that will continue. But we're definitely going to make sure that our partner if they find something we want them to tell us about it. We want to make sure they make some money of it.
Brad Zelnick: Great. And just for Scott, cloud subscriptions by my math grew about 35% organically. Can you maybe rank what are the different drivers there? And I think organic cloud ARPS was up only about 4% year-on-year was that in line with your expectations? And can you remind us of the levers that drive confidence in ARPS growth? Thanks.
Scott Herren : Sure. On the cloud side the biggest drivers of the -- organically of the cloud subs continue to be BIM 360 is number one and driving the biggest chunk of that growth Fusion 360 would be second and then there's a handful of smaller products beyond that Shotgun is in there, AutoCAD 360 is in there. But those two drive the majority of the cloud subs adds. The ARPS growth is in line with our expectations for the BIM 360 product set and on BIM 360 we also made a price change on it recently. Quarter and half ago we made a price change on Fusion 360. So you'll begin to see that price increase start to float its way through into the cloud ARPS as well. So I feel pretty good about where we are in the cloud side and you can see the inorganic contribution in the slide deck that we posted you could see it there was also a positive to the cloud ARPS for the quarter.
Operator: Thank you. And our next question comes from Sterling Auty with JP Morgan. Your line is now open.
Sterling Auty: Thanks, hi guys. I guess, I missed it but I'm going to ask the question anyway what is PlanGrid and the other acquisition actually going to contribute in terms of this fiscal year’s guidance because I didn't see it anywhere.
Scott Herren : Yeah. So we didn't spend a lot of time breaking that out we said that point of acquisition with PlanGrid that it would drive, we expected it to drive about $100 million in ARR this year. And that's consistent with what's built into the guidance that we gave, I broke out the spend it was between the two of them, they drove 7 points of spend growth year-on-year. So you can do the math of what that looks like. That's probably about as much as we've done. The other thing as you're doing your own calculations and I saw in some of the previous notes people trying to do the calculation. The other thing just to bear in mind is that the swing in interest the foreground interest on the cash spent and the added interest expense for the $500 million short-term loan agreement, we picked up.  So all-in-all it’s a slight headwind on EPS for fiscal 2018, it’s slight headwind for us on free cash flow for fiscal 2020, but we feel good about being able to contain it.
Sterling Auty: Excellent. And then just one quick follow up, Scott, just as we think about the cash flow guide, I think multi-year agreements were going to be a decent contributor to that. What's been your experience remind us when you put the multi-year back into place? What's your experience and what does it need to do to hit that 1.35?
Scott Herren : Yes, it is one of the contributors. There are several things obviously that drive the cash flow growth year-on-year from -- well we posted $310 million of free cash flow this year, but remember that included about $130 million of one-time cash outflows tied to the restructuring that we announced a year ago and the exit tax and moving our European hub out of Munich [ph] into Dublin. So the three candidates actually understand reflects $130 million of one-time payment that won't repeat themselves in the fiscal 2020. There mainly the growth is the two things we talked about is net income and you can back into the net income increase year-on-year from the guidance points we gave you, but net income grow strongly driven by top line growth. And then billings growth, and it will grow for all the reasons we've talked about in ARPS, an element of it is multi-year, which is what you're touching on. We reintroduced the 10% discount for three year paid up front multi-year products subs. We hadn't previously offered any discount on that, although we did still have some multi-year sales of it. There was no discount. We reintroduced that in Q4. And if you noticed, I know it's a busy night for you guys. But if you look at our balance sheet, you'll see our long-term deferred actually grew for the first time in seven quarters as we saw pretty good uptake. People buying that three year product subscription deal. So we expect to see that continue to grow next year and get back into the range that its historically been. And think from a -- in terms of what long-term will represent of our total deferred revenue, we think it gets back into that 20% to 21% range that we talked about at Investor Day last year.
Operator: Thank you. And our next question comes from Zane Chrane with Bernstein Research. Your line is now open.
Zane Chrane: Hi, thanks for fitting me in, congrats on a great quarter gentlemen. I was speaking with developers in one of the new skyscrapers in New York. And they were telling me how adopting Revit recently they're expecting that to generate a 3x return on the multimillion dollar contract they signed with you guys. That wasn't so much surprising so much as the fact that it sounded like a fairly recent decision. It made me wonder how penetrated do you think your customer base is in terms of Revit adoption for those customers that may potentially use it or could benefit from it?
Andrew Anagnost: I think, Zane you're actually hitting on something that's important to discuss. People think that Revit is already like fully matured and penetrating the market, it’s actually still very much the early kind of majority type market for Revit adoption. We are actually seeing massive growth in Revit usage, Revit adoption. That's why I highlighted the increasing visibility of Revit skills is one of the skills that’s important moving forward into the years. Revit has got a long way to go in terms of growth. And it really is the new engine of how architecture and building design is going to be done. And it's not even begun, its journey very much into the infrastructure space. So look for Revit to keep going and going and going and watch how the skills referenced on Revit climbs up that list from where it is today well into the top 10. That's just to be expected, especially in Europe where Revit adoption is taking off from the very early stages. It was much more mature in the U.S.
Zane Chrane: That's helpful. And as far as the adoption, do you think that it will be driven more by the adoption of collections or do you see a lot of enterprise customers buying it standalone?
Andrew Anagnost: Our enterprise customers almost all buy it through EBAs. So they get access through the EBAs. It doesn't hurt that the collections have Revit insight so the users can immediately start moving projects to Revit. But frankly, the big driving force for Revit has a little to do with how we package our software. There's a couple of things that are driving it. One the return, you heard from those customers in New York. They basically see a fairly significant return. Owners in particular see a significant return and are more and more starting to mandate BIM for particular projects. Governments are doing it, owners developers are doing it, people are just starting to expect BIM to be part of the process because they're seeing the ROI. That is more of a secular driver in terms of where things are going, this kind of digitization of the whole design to construction process, then how we package our software and sell it.
Operator: Thank you. And our next question comes from Matt Hedberg with RBC Capital Markets. Your line is open.
Matt Swanson: Hi, this actually Matt Swanson, on from Matt, thanks for taking my question. Just one for me. In our survey work this quarter we had a reseller bring up a large deal that came from previously pirated software. I know before at one point you had mentioned 4 million pirates in mature markets. Could you just remind us what this opportunity is just kind of how you go about identifying and pursuing it?
Andrew Anagnost: Yes. So just to put it all in scale, right? We have 18 million users of our products worldwide, there's 404 million subscribers. So can you can kind of see there's a big delta between users and subscribers right now. Now, the way we look at this, especially in mature markets is we look at people, who are using the software and maybe have a few illegal copies or few illegal serial numbers inside their environment and we go and we have conversations with them. For the most part, when you hear about big deals like that, that was somebody that was probably really stretching the limits of what was legal with regards to our software. Long-term what you're going to see with this whole entire process.  And like I said, I've said this over and over again on calls, there's no big surge that's going to happen at any one point as a matter of fact, if we tried to create a big surge, I actually think what we do is create a big backlash. All right. What's you're going to see is a gradual kind of continuing add and penetration to that 18 million user base as we add more capability in the products to help us understand. who's using the licenses validly who isn't.  And also as user start to realize that it's better to be part of the legal ecosystem than it is to be part of the invalid ecosystem. So just continue to see that momentum overtime. Don't expect big spikes, deals like what you just described, are not the norm. So I want to make sure that we're clear on that. But as we -- especially as we move into fiscal 2021 and 2022, where we're getting further and further down from our last perpetual release, and we move more and more in pure named user licensing as a company you're just going to see more and more of these people coming into the paid ecosystem.
Scott Herren : And Matt, we have our Investor Day at the end of March, actually a month from today March 28 here in San Francisco. This is what obviously one of the topics that we’ll update everyone on. And give you a sense not just for the numbers, but more importantly the things we're doing the changes we're making in both process and in the product to go after chasing that opportunity.
Matt Swanson: All right. Thanks for the time guys.
Scott Herren : Thanks.
Operator: Thank you. And our next question comes from Keith Weiss with Morgan Stanley. Your line is now open. 
Hamza Fodderwala: Hi, this is Hamza Fodderwala for Keith Weiss. Thank you for taking my questions. I wanted to follow-up on an earlier question asked about the integration between PlanGrid and the core BIM 360 product. What's the timeline for that? And is there any risk of customers perhaps being more cautious on purchasing BIM in advance of that integration since there have been a lot of changes with that product in recent years mostly positive, but just wondering if you're seeing any of that?
Andrew Anagnost: Yes, so one of the areas were we're paying attention to Keith -- was Keith right. No it was actually Tom. Okay. And one of the areas we’re paying attention to Tom is moving very quickly and making it clear where the focus areas of those two products are. We've already kind of internally established that. PlanGrid is absolutely focused on site execution, and all the things that make site execution just awesome. And they are incredibly talented at, as Tracy [ph] likes to say, beautiful, simple software that helps people be more productive, and we're doubling down on that for them. So all of the additional R&D investment we’ve put in there is all going to accelerate their site execution roadmap. And customers are going to start to see that very quickly and start to understand, okay, so the site execution stuff that I saw in BIM 360 I am going to see more of it in PlanGrid and I'm going to see these things kind of expand out. What we've done on the BIM 360 side is we've been very focused with that team of aligning them around project management and project management capabilities. And there have been gaps that our customers have been asking for, for quite a while around project management and project flow capabilities. And they're going to see an acceleration of those capabilities inside of BIM 360.  So we move very, very quickly based on our own analysis, pre-acquisition and some of our post-acquisition moves to be very clear with the R&D organizations where they should run and how fast they should run in those areas. Customers will start to see that and we're already starting to communicate some of this to our customers. And I think they're starting to understand it as being not only the right thing to do, but intuitively makes sense.
Hamza Fodderwala: Got it, that's helpful. And a follow-up question perhaps for you, Scott. It looks like ARR growth is pretty strong, sustained in the low-30%, but the sub add were a bit below that of the original guidance, at least on an organic basis. Is that just the continued migration to collections or is there any other factors behind that?
Scott Herren: No, it is, as we've said in the past, we've focused much more on driving top line growth and driving ARR than we have on driving the individual component of that. I feel really good about the continued strength in collections, not just at the point of migration from maintenance over to product subs, which is continuing to stay strong. But also on new sales, we see industry collections at this point at 28% of our total products subscription install base. It's a -- it's run faster than we expected to get to that point.
Operator: Thank you. Our next question comes from Ken Talanian with Evercore ISI. Your line is now open.
Ken Talanian: Hi, thanks for taking the question. I was wondering if you could give us a sense for the percentage of your existing customer base that you're targeting for construction related sales in fiscal 2020. And then, what if any level of cross selling success you're factoring into the fiscal 2020 guidance?
Andrew Anagnost: Well, I -- Ken the one thing I’d says anybody who works in the AEC space is a target for our construction portfolio. When you look at our strategy, our strategy is to connect the end to end flow from the early design process all the way through down to site execution and essentially get the building information model and the data that's attached to it moving through that entire process. So basically, our entire AEC ecosystem is a target for some part of this construction staff be it BIM 360 design all the way through to PlanGrid and all the way through the BuildingConnected on the bidding side. So we see a fairly open field with regards to who we’re targeting. Now, what was the second part of your question, I just wanted to -- since you were saying…
Ken Talanian: What you’re factoring into the fiscal 2020 guidance? 
Andrew Anagnost: Yes. So, Scott, why don’t you to take that. 
Scott Herren : Yes, Ken what we all talked about is we expect ARR to be in that 100 million range and that is what's factored into the guidance for fiscal 2020. I think what I'd add though to the first part of your question of who are we targeting, one of the things that we're excited about when we got PlanGrid was not just the technology which is beautiful, simple, easy to use, which is what's required in that site execution phase. They also have a strong base and a part of the ecosystem, the construction ecosystem that we didn't have a lot of touch points to which was the subcontractors and the trades. So it’s not just selling to our existing customer set in construction which we obviously will continue to do. We also got a nice beachhead with PlanGrid into a part of the construction ecosystem we didn't previously touch. And BuildingConnected by the way brings that same thing, if you look at what BuildingConnected does, it connects general contractors to trades into the subcontractors into the people below them. So it's actually a nice expansion of the people that we can target with our construction solutions.
Ken Talanian: Great. And if I can follow up quickly, could you give us a sense of how to think about the adoption rate of construction software in the event that we see an economic slowdown? Are you having the kind of high level conversations that suggests that this is a top priority, regardless of sort of the backdrop…
Andrew Anagnost: Yes, so excellent point, Ken. So look, what I'll do is I'll tell you about what happened in the last downturn. And I'll tell you about the sense of urgency that construction customers have around digitization. So in the last downturn construction, IT spend, continue to increase even though that downturn hit construction incredibly hard. And the reason for that is very simple, the most digital vendor or the most digital contractor won, because they were able to more accurately predict what their total costs were going to be able to do. They were able to get their bids in tighter, they were able to basically manage their costs better. So digitization wins. The whole ecosystem and construction understands this right now. It's an imperative across almost all of our customers at this point. They're all looking to figure out how they can digitize their workflows, how they can extract more efficiency, how they can get more accuracy, reduce project risk, manage the timelines, reduce safety risks, that continues to be a highly visible aspect of this. So we anticipate that even in a downturn construction IT spend is going to go up. And we're super excited about things like what we're doing with construction IQ, where we're actually using some of the data that we collect from our customers to provide predictive outcomes, which is going to become more and more valuable. So digitization wins, all of our customers know that and we anticipate the spend can continue even to a downturn.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session for today's call. I would now like to turn the call back over to Abhey Lamba for any further remarks.
Abhey Lamba: Thanks, operator and thanks everyone, for joining us today. I want to remind you that we are hosting our Investor Day on March 28 in San Francisco, where we will discuss our business in detail, please reach out to us if you would like to attend or have any questions from today's call. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.